Operator: Good afternoon. Thank you for standing by, and welcome to Navitas Semiconductor’s Fourth Quarter 2024 Financial Results Conference Call. Please be advised, today’s conference is being recorded and a replay will be available on Navitas Semiconductor’s Investor Relations website. I would now like to hand the conference over to Stephen Oliver, Vice President of Investor Relations.
Stephen Oliver: Good afternoon, everyone. I’m Stephen Oliver, Vice President of Investor Relations. Thank you for joining Navitas Semiconductor’s fourth quarter and full-year 2024 results conference call. I’m joined today by Gene Sheridan, our Chairman, President, CEO and Co-Founder; and Todd Glickman, CFO. A replay of this webcast will be available on our website approximately one hour following this conference call and available for approximately 30 days. Additional information related to our business is also posted on the Investor Relations section of our website. Our earnings release includes non-GAAP financial measures. Reconciliations of these non-GAAP financial measures with the most directly comparable GAAP measures are included in our fourth quarter earnings release and also posted on our website in the Investor Relations section. Non-GAAP expenses and operating margin exclude stock-based compensation, amortization of intangible assets and other non-recurring items. In this conference call, we will make forward-looking statements about future events or about the future financial performance of Navitas, including acquisitions. You can identify these statements by words like we expect or we believe or similar terms. We wish to caution you that such forward-looking statements are subject to risks and uncertainties that could cause actual events or results to differ materially from expectations expressed in our forward-looking statements. Important factors that can affect Navitas’ business, including factors that could cause actual results to differ from our forward-looking statements, are described in our earnings release. Please also refer to the Risk Factors sections in our most recent 10-K and 10-Qs. Our estimates or other forward-looking statements may change, and Navitas assumes no obligation to update forward-looking statements to reflect actual results, changed assumptions or other events that may occur except as required by law. And now, over to Gene Sheridan, CEO.
Gene Sheridan: Thank you, Steve, and thanks to everyone joining us today. We completed 2024 with an all-time high of $83 million in revenue despite a semiconductor slowdown throughout the year in which most of our larger power semiconductor peers saw declining revenues. While our silicon carbide business was impacted by the slowdown in solar, industrial and EV, our GaN business grew over 50% in 2024 to an all-time high with revenues coming from mobile, consumer, appliance and the initial ramp up of data centers. We also completed 2024 with an extraordinary $450 million of design wins, which reflects lifetime revenues of new customer programs in which Navitas products are expected to ramp to revenues over the next few years. This design win total represents a win rate of over 50% and gives us increased confidence in and visibility to expected growth as we look into the second half of 2025 and 2026. I’m also pleased with our total customer pipeline growth, which has nearly doubled from $1.25 billion at the end of 2023 to $2.4 billion at the end of 2024, reflecting strong expected expansion in our major markets. Let me share some specifics in each. Our data center sector has the highest growth rates in revenue and design wins with 40 customer project wins throughout the year. These wins were at top ODMs in Asia that target major Tier 1 data center players such as Google, Amazon, Facebook, Alibaba, Dell, HP and others. Our system reference designs that span from 2.7 kilowatts to 8.5 kilowatts were key enablers for this new business as we showcase to customers the extraordinary energy efficiency and power density that is possible, particularly when combining our GeneSiC technology in the PFC circuit and our GaNSafe technology in the LLC circuits for these AC to DC power supply units. Also, we view the emergence of lower cost AI platforms such as DeepSeek as a positive development that we expect to drive a lower cost of AI implementations, which can accelerate AI adoption both in the cloud as well as the edge, potentially translating to greater overall demand for power and for Navitas technology. Our data center customer pipeline has more than doubled to over $165 million as compared to $70 million the year prior. As announced last quarter, we have started sampling our 80 to 120 V fan lift GaN devices targeting 48 V DC to DC converters in data centers as well as 48 V EV battery systems and 48 V robots in the longer-term. We expect growing customer demand activity throughout 2025 and first appreciable revenues next year. In the EV space, we are happy to announce over 40 design wins in 2024 across Europe, U.S., China and Korea heavily focused on onboard chargers as well as roadside chargers. We’re also excited to announce what we believe to be the industry’s first GaN design win into any electric vehicle. China’s Number 3 EV player, Changan, has selected Navitas GaNSafe technology to power their next generation EV onboard chargers and they have achieved extraordinary power densities of 6 kW per litre and energy efficiencies of 96%. Changan estimates that these GaNSafe powered onboard chargers could extend lifetime driving range by 10,000 kilometers and could reduce charging cost by 15% to 20%. We expect this project and other GaN EV projects to start production ramp in the first half of 2026. Our EV pipeline has expanded rapidly to over $900 million compared to $400 million a year ago and now represents nearly 40% of our $2.4 billion pipeline. In the mobile sector, we have enabled very broad expansion in the adoption of GaN chargers with over 180 design wins. This includes the first significant wins with Transient, now a top five global smartphone player and the leader in markets such as Middle East, Africa and Central and South America. We also had our first wins in India with Jio, a leader in consumer networking who selected Navitas GaN ICs to power their next generation Wi-Fi equipment. We expect both of these new customers will reflect multiple million-dollar projects ramping in late ‘25, demonstrating greater mainstream adoption of GaN chargers expanding into these lower-cost regions. We now estimate that GaN chargers will reach over 10% adoption rate of all mobile chargers to power smartphones, tablets and laptops in 2025 as the average power of these chargers approaches 45 W. This power increase is an important trend to not only support faster charging for our consumers, but also our GaN value increases as that power level increases, delivering the maximum power at the highest efficiencies and with the smallest size and weight for these wall adapters. Navitas continues to supply 10 of the top 10 mobile players designing with Navitas’ GaN IC technology. In the solar space, we are on-track for a major launch this summer with the leader in micro-inverters to begin an important and significant transition from silicon to GaN, enabling a new wave of energy efficiency, power density and size, weight and cost reductions for the solar industry. We see micro-inverters becoming the leading residential solar solution and many other players in this space are expected to pursue a similar transition from silicon to GaN. Across solar, energy storage, industrial and appliance sectors, we enjoyed over 170 customer design wins in 2024, which we expect will feel important growth in 2026 and beyond. I’m excited to share our plans for a major technology announcement coming up on March 12. This will be our first ever global online launch event and while the details won’t be disclosed until that event, we believe this announcement will usher in a new era for power electronics and accelerate gallium nitride and silicon carbide in major multi-billion dollar markets. We hope you will all join us for this exciting event. Finally, looking towards 2025, we expect a Q1 revenue decline reflecting normal mobile seasonality coupled with continued end-market weakness and some remaining inventory correction in the solar, industrial and EV markets. We expect a modest recovery in Q2 and anticipate returning to healthy growth in the second half of the year fueled by our $450 million of design wins last year and the expected start of a semiconductor recovery. Now, let me turn it over to Todd Glickman, our CFO, to cover the financials in greater detail.
Todd Glickman: Thank you, Gene. In my comments today, I will first take you through our fourth quarter and annual 2024 financial results, and then I’ll walk you through our outlook for the first quarter along with some of the market dynamics we are currently seeing. Revenue in the fourth quarter of 2024 was within guidance at $18 million. As expected, most of the sequential decline was in the mobile and consumer markets. The decline compared to a year ago quarter was primarily the result of lower revenues in the EV, solar and industrial markets. For the full-year of 2024, we grew revenue to $83.3 million or 5% from $79.5 million in 2023. Our GaN revenue grew more than 50% for the full-year and reached an all-time high as aggressive adoption of GaN to replace silicon continued in the mobile, consumer and appliance segments with data center revenues starting in the second half of the year. Before addressing gross profit and expenses, I’d like to refer you to the GAAP to non-GAAP reconciliations in our press release earlier today. In the rest of my commentary, I will refer to non-GAAP measures. Gross margin in the fourth quarter was 40.2%, which was relatively flat sequentially compared to 40.1% in the third quarter. For the fiscal year 2024, non-GAAP gross margin was 40.4% compared to 41.8% in 2023, primarily due to less favorable market mix. In the fourth quarter, we executed on expense management initiatives and reduced operating expenses sequentially to $19.9 million comprised of SG&A expenses of $8 million and R&D expenses of $11.9 million. This demonstrates our ability to balance operational efficiency while we continue investing in next generation GaN and SiC technology and in market development, primarily in data center, EV and mobile sectors. For fiscal year 2024, non-GAAP operating expenses were $83.4 million compared to $73.5 million in the prior year. Adding all this together, the fourth quarter 2024 loss from operations was $12.7 million flat sequentially as cost reductions offset the quarter-over-quarter revenue decline and a loss of $49.7 million for the full-year compared to a loss of $40.3 million for 2023. Our weighted average share count for the fourth quarter was 187 million shares. Turning to the balance sheet. In Q4, the company disengaged with a silicon carbide distributor, resulting in a one-time $11.6 million expense related to an inventory reserve and bad debt. Accounts receivable sequentially declined to approximately $14 million from $26 million in the prior quarter, and inventory fell to $15.5 million from $21.3 million in turn reducing our days of inventory to 130 down from 147. Our balance sheet remains very strong as we enter 2025 with high-levels of liquidity and an improved working capital position. Cash and cash equivalents at quarter end were $87 million and we continue to carry no debt. Moving on to guidance for the first quarter. We currently expect revenues in the range of $13 million to $15 million reflecting greater than typical seasonality given continued softness and remaining inventory corrections in solar, EV and industrial end-markets. Overall, while we continue to forecast a more muted first half of 2025, we anticipate growth to resume in the second half fueled by 2024 design wins and expected recovery in a number of our end-markets. Gross margin for the first quarter is expected to be slightly lower than the fourth quarter with our guidance at 38% plus or minus 50 basis points as our expected mix continues to lean toward the mobile market in the near-term. We expect modest margin improvement throughout the year, aligned with the growth anticipated in our higher power markets. Turning to operating expenses. We have completed some additional workforce reductions and are realizing further synergies and operational efficiencies associated with prior acquisitions, all of which align our cost structure with revenue expectations. By consolidating certain support and engineering functions and sites and further streamlining the company, we anticipate a reduction of our first quarter operating expenses to $18 million and approximately $15.5 million per quarter thereafter. Combining all of our cost reduction and efficiency improvements with our strong cash position, clean balance sheet and growth outlook firmly positions the company to reach expected positive EBITDA in 2026. For the first quarter of 2025, we expect our weighted average share count to be approximately 190 million shares. In closing, while we are thoughtfully navigating the near-term softness in some of our end-markets, our substantial customer pipeline and design wins and ever increasing technology lead puts us in a strong position to scale to profitability as we enable the next generation of power electronics. Operator, let’s begin the Q&A session.
Operator: Thank you. [Operator Instructions] And we’ve the first question, this is coming from Ross Seymore from Deutsche Bank. Your line is open.
Ross Seymore: Hi, guys. Thanks for letting me ask a question. Gene, just wanted to talk a little bit about where you think the cyclical bottom is? I know seasonality plays a big part in the March quarter overall in some of your more consumer and mobile areas. But do you think the cyclical side of the equation has found the bottom now? And if so, how do you view the slope of the recovery?
Gene Sheridan: Yes. Good question, Ross. Certainly, Q1 by all measures looks to be a cyclical bottom, at least from a Navitas perspective. Obviously, we’re a smaller player. We have maybe different market dynamics on where GaN and silicon carbide are being adopted. Industrial still seems pretty sluggish. Solar, we’re a little more bullish on, especially as the GaN adoption starts middle of the year. EV is probably where we’ve seen the best pickup starting in China. I think others have observed the same. And we’re more bullish there too because we’ve just got such a strong pipeline in onboard chargers in particular combination of silicon carbide and GaN as well as the roadside chargers, which is all silicon carbide in brand-new modules we introduced. So, I think all of those are sort of at play, but from our perspective cyclical bottom certainly seems to be Q1, but we see the recovery starting in Q2 and nice healthy growth outlook for the second half.
Ross Seymore: And I guess as my follow-up, you talked about the strength of the GaN business growing over 50% last year and I’m not asking you for specific numbers in the silicon carbide side of things, but how are you viewing that market? Was it in your mind just weaker because the end-market was weak, inventory burn, et cetera, and we’ve heard that from many, many players? Or was there something a little more Navitas specific in that, that would potentially adjust your strategy for your silicon carbide business going forward?
Gene Sheridan: Yes. No, great question. Certainly, the market slowdown, silicon carbide is specifically focused primarily at EV, solar and industrial. And those are the three things we’ve seen slowdown in the last year as the whole industry has seen them. So that’s certainly first order effect. But also we talked about increasing our focus as a company around strategic applications last quarter and that’s really in the EV space where we’re leveraging GaN and silicon carbide together with our system reference designs. And those have increased dramatically in terms of pipeline, the design wins, a big percentage of that $450 million of design wins last year was in the EV space, which leverages both GaN and silicon carbide. Secondarily, as they said about roadside chargers, that’s all silicon carbide. So, I think that’s shifting things for us. And then of course, we’re just rolling out in the last couple of quarters the data center strategy, which again has a combination of GaN and silicon carbide playing into it. So, I think we had our own investment and focus areas to sort of work through and I think we’re starting to see that come through, particularly as the market improves, but even without that market improvement, we’ll see these design wins kicking in and the silicon carbide business growing nicely throughout the year.
Ross Seymore: Thank you.
Gene Sheridan: Thanks, Ross.
Operator: Thank you. Our next question comes from the line of Quinn Bolton from Needham & Company. Your line is open.
Quinn Bolton: Hey, guys. I just wanted to ask and make sure, Todd, I heard you right on the OpEx beyond Q1. Did you say it would come down to $15.5 million? And, if that’s right, how long do you think you can keep it at that level? And then I guess a follow-up question, obviously, you guys have cut OpEx now by roughly 25%. At what point how much fat do you think you’ve cut here? Do you feel like you’re starting to potentially limit growth in some of these new opportunities with the cuts you’ve made?
Todd Glickman: Yes. Thanks, Quinn. Let me take that first question. So yes, $15.5 million on a go-forward basis. We expect to keep that fairly flat on a go-forward basis as we’re continuing to leverage what we currently have in our business and so we don’t expect much growth on that OpEx number. In regard to your second question on – yes, is there any fat left in the business? We have been pretty diligent on looking internally and on acquisition synergies and we feel like the business is right-sized right now. So, we do not see any more fat to trim. We are properly sized to grow, especially in the second half that we’re seeing today and across markets such as data center, EV and mobile.
Quinn Bolton: Great. And maybe if I could just one quick one on data center. I think in the past you guys had sort of thought that could be a $10 million to $20 million business in 2025. Just wondering if that’s still sort of the right ballpark to be thinking about for data center or if you’ve seen any movement in that kind of expectation? Thank you.
Todd Glickman: Yes. Thanks, Quinn. We’re not obviously giving out full year guidance or breaking it down by sector, but do feel good about the trajectory. We started ramping in Q3, as you know. The design wins grew nicely. I mentioned 40 total for the year. I think through Q3, it was only nine or 10 year-to-date last year. So, a really strong Q4 design win period, which will only help to accelerate that. So, no specific breakout for the year, but the trajectory is good and growing sequentially throughout 2025.
Quinn Bolton: Great. Thank you, Gene. Thanks, Todd.
Gene Sheridan: Thanks, Quinn.
Operator: Thank you. Our next question comes from the line of Kevin Cassidy from Rosenblatt Securities. Your line is open.
Kevin Cassidy : Yes. Thanks for taking my question. Mine also is centered around data center. The 40 design wins, can you describe kind of what the bell curve is of the various power supplies? You had mentioned in the press release its 2.7 kilowatts, 8.5 kilowatts, but I guess is it weighted one side or the other, is it right in the middle, where most of the designs are?
Gene Sheridan: Yes, good question. It started out pretty broad from even some below 2 kilowatt, which is a little surprising because our technology is best for the high density, the high power as you know, Kevin. But I think in many cases, people really want to try it out. They know the future is GaN and silicon carbide for data center power supplies because the future is high density and high efficiency. But now we’re seeing, I think, the sweet spot is really where you can max out that power density. And there’s two form factors in data center for AC to DC power supplies. There’s CRPS form factor. We push that to its limit at 4.5 kilowatt and we’re seeing nice pickup, probably more concentrated there. Or you can go where the entire power shelf is dedicated power supplies, that’s the ORV specification. There we pushed it to 8.5 kilowatt and going even higher. So, I’d look at those higher power levels as where we’re seeing the increased concentration because that’s really where that GaN and SiC combination can give you the really the efficiencies and density, so like we can’t touch and we’re going to keep pushing those limits going forward.
Kevin Cassidy : Okay, great. And just a couple of other questions. Are these deployments, are they going to be tied to any particular GPUs? Or are these going to be deployed despite any GPU upgrade cycle?
Gene Sheridan: Yes. I think a lot of people now are shifting beyond Blackwell to Rubin. So, I think without obviously getting the customer confidential specific projects. In terms of market trends, I think we’ll see a lot of the designs starting now They’re going to be Rubin focused or let’s say Rubin class of processor focused and it’s not all about NVIDIA. Of course, we’re seeing other processors pop up, traditional server ones as well as new AI ones that are getting into the mix as well. So, I think right now we’re kind of focused on next generation that are going to drive a lot of that, but new designs are going to drive a lot of the ramps in 2026 at this point.
Kevin Cassidy : Okay, understood. Thank you.
Operator: Thank you. Our next question comes from the line of Jack Egan from Charter Equity Research. Your line is open.
Jack Egan: Hey, guys. Thanks for taking the questions. I was hoping you could talk a bit about the distributor disengagement. Was that a part of the cost production plan or something else?
Gene Sheridan: No, that was separate. Given the lack of performance across silicon carbide, we decided to replace one of our channel partners because they really weren’t achieving the design wins we were expected across EV and industrial and their lack of ability to pay for some delivered products. But on a go forward basis, we have in certain a new channel partner and that’s going to help us with our growth in the second half of 2025.
Jack Egan: Great. Okay. And then it’s good to see that your cash burn has slowed a bit or pretty good bit over the past two quarters. How are you thinking about raising capital at all? I mean, are you comfortable with your current cash balance and the cost reductions to kind of wait out the cyclical slowdown?
Todd Glickman: That’s a great question. To your point, right, we finished the year with $87 million, we burned $12 million in cash in Q4. And on a go forward basis, if we look past one-time events in Q1, we do expect that cash to slow down over class usage to decrease over time. And so right now we have two plus years of cash available to us, so we don’t see any need organically to raise cash. However, as we’ve stated in the past, if there’s a strategic initiative that we want to pursue then that would be an avenue where we’d raise cash.
Jack Egan: Got it. Thanks so much.
Operator: Thank you. [Operator Instructions]. And our next question comes from the line of Jon Tanwanteng from CJS Securities. The line is open.
Jon Tanwanteng: Hi, thanks for taking my question. I was wondering if you could talk about the $450 million in the design win pipeline. Maybe how much of that falls into this year, next year and the year after, as you see it scheduled from today? And I know different end markets can act differently there.
Gene Sheridan: Yes. Thanks, Jon. It’s important to clarify, it’s our first time to give kind of a total design win indication coming out of the pipeline. So first, let me clarify, design win is not a purchase order, but it is where the customer has actually selected Navitas to be included in the final production hardware. So, it’s a very significant industry wide event, let’s say or common term to get into that design validation phase, which is what people also call it. The $450 million does represent the lifetime revenue. We take a pretty conservative view, mobile and consumer products maybe one or two years. The more industrial or higher power markets maybe three or four years, so it’s spread out over that lifetime period. But to your question, when does it start to ramp? We also try to take a conservative view on the ramp time. So we’ve only considered programs that are ramping in ‘25, ‘26 or ‘27. We are working on things that could kick in or start in ‘28 or beyond, but we excluded them. So, between all of my comments there, it kind of gives you a feel for how does that layer in over the next three years and run for the next one to four years.
Jon Tanwanteng: Got it. Thank you. That’s helpful. And then could you help us understand the margin profile in the second half of the year as you get the design wins ramp? How much comes from the higher volume GaN products and higher margin ones in things like data center versus carbide and IC markets?
Gene Sheridan: Yes. Well, we don’t comment on margin specific as it relates to end market. You can we always know that our corporate margin mobile is always slightly below our corporate margins and higher power markets such as EV and data center will be bigger than our company margin level. And so as the second half picks up and those higher markets start to convert design wins, we do expect some marginal margin growth. But long-term, I think what those markets lead us to is our long term goal of 50% plus margin and that’s no change from that.
Jon Tanwanteng: Okay, great. And then one more if I could. Just the reduction in OpEx that you’re talking about in the next two quarters, how much is coming out of R&D versus SG&A?
Gene Sheridan: No, great question. I think if you look historically at our splits, you’re going to see that same split on a go forward basis as you look at R&D and SG&A as we’ve taken those synergies out of both via the acquisitions from both avenues.
Jon Tanwanteng: Understood. Thank you.
Operator: Thank you. Our next question comes from the line again from Ross Seymore from Deutsche Bank. Your line is open.
Ross Seymore: Hi, guys. Thanks. Let me squeeze in one follow-up. Just want to talk about the competitive landscape. Gene, have you seen any significant changes in the aggressiveness of the competition, pricing, need to burn inventory, any sort of those cyclical dynamics, especially with downturn is persistent as this one, oftentimes you’ll get those sorts of acts of desperation by about this time in the cycle. Have you seen that?
Gene Sheridan: Yes. I think we saw it more concentrated, not surprisingly, on silicon carbide just because that’s where some of the market slowdown occurred. So in the last year, even one point five years ago when we started talking about some of the solar slowdown and industrial and EV, with that slowdown, you get pockets of inventory, you also get a little bit more ASP erosion. That does seem to have stabilized. I think the inventory pockets are reducing and stabilizing maybe one more quarter as we mentioned in the prepared remarks and ASP erosion seems to be stabilizing. So, I think that’s all pretty encouraging. GaN not as dramatic because again it’s been a little bit more healthier supply and demand across the mobile and consumer space and a little bit of appliance.
Ross Seymore: Perfect. Thank you.
Gene Sheridan: You bet.
Operator: Thank you. Our next question comes from the line of Richard Shannon from Craig-Hallum. Your line is open.
Richard Shannon: Okay, guys. Thanks for taking my questions. Gene, maybe I’ll ask a question here on calendar ‘25 sales outlook. I know you’re not quantifying any sort of thought process here, but obviously last year you had a really good year in GaN and obviously silicon carbide markets were very challenged to say the least here. How do we think about 2025 between the two material systems here? Is one going to be notably better than the other?
Gene Sheridan: Yes. I think as I mentioned earlier, Rich, we really like our focused strategy on data centers, which is going to see a combination of growth in both GaN and silicon carbide. We’re using that silicon carbide in the PFC circuit for most designs GaN on the second stage or LLC. That’s getting us the best efficiency, the best density for the customer. So, I think that trend speaks for itself. I think the same kind of thing, as I mentioned is going on with EV onboard chargers. Bullish that roadside chargers is also improving as that infrastructure does need to get build out around the world and that’s 100% silicon carbide. So, I think all of those will have a healthy growth going forward, I think for both technologies because they’re often used in combination in a number of our key market growth drivers.
Richard Shannon: Okay, fair enough. Thanks for that. Maybe a quick question for Todd. I’ve heard about the new OpEx spending level here and obviously still have a profile of 50% gross margins here at the high end model here. And then also getting to EBITDA breakeven here. I guess my question here is how do we think about the revenue per quarter to get to that breakeven level?
Todd Glickman: Yes, right. So, I think this is our second reduction. I think we went from breakeven EBITDA of the mid-50s to mid-40s. This brings you to a breakeven of high-30s, obviously dependent on gross margins, but that’s what we feel like this OpEx level brings us to a breakeven in high-30s of revenue per quarter.
Richard Shannon: Okay, perfect. Thanks. That will be all for me.
Operator: Thank you. Our next question comes back from the line of Jack Egan from Charter Equity Research. Your line is open.
Jack Egan: Great. Thanks for taking the follow-up. You mentioned you found some additional synergies in OpEx. And last quarter, you said you were targeting a 14% reduction in four so. Is that going to be higher like upwards 20% now or were the cost savings found elsewhere?
Todd Glickman: Yes. These cost savings were found elsewhere as we’ve gone through a number of acquisitions historically. So, those cost savings were separate from the ones in Q4 and were directly related to synergies across those acquisitions.
Jack Egan: Great. Thanks so much.
Operator: Thank you. Our next question comes back from the line of Richard Shannon from Craig-Hallum. Your line is back open.
Richard Shannon: All right. Well, that was fast getting back in here. That’s your two questions. I got on the call late, so I may have missed some prepared remarks here. But, Gene, did I touch accurately that you had a very market acceleration design wins in the data center space here? If I heard you correctly, 10 to the first three quarters and then 30 in the fourth quarter to get to 40. If that’s accurate here, can you kind of lay out the dynamics here, what’s going on as the share gains acceleration in the market? And then when do these design wins go to market? Can they happen this year or is it beyond this year?
Gene Sheridan: Yes, both good points. And yes, you’ve got the facts right, Rich. So, I think it is an acceleration. I’d like to think it’s probably an acceleration of share gain, but let’s hold that until we sort of deliver on the POs and the revenue. But certainly, the market continues to accelerate and we’re pleased to see even after things like DeepSeek that the CapEx numbers keep going up globally, the power requirements even continue to go up. As I talked about a lot of our design wins are now pushing to that power limit 4.5 kilowatt on the CRPF, 8.5 kilowatt and we’re going to go even higher than that on the ORV3 platform that I mentioned. So, I think that’s all pretty encouraging outlook for us.
Richard Shannon: Okay. And for my follow-up question. No, that was it. Just another big picture question for you, Gene. Just obviously, you have a different geopolitical environment since the last earnings call. I wanted to see if there’s any changes that you would highlight either positive or negative globally.
Gene Sheridan: Yes, good question. Those are always broad macro questions, right? So obviously there’s talk about tariffs, hard to know how tariffs play out, where are they, which countries, how do people respond to that equipment level, the chip level. But fundamentally, we’re one of the few companies doing semiconductor manufacturing in The United States. As you know, we build silicon carbide at ex-fab in Texas. So that probably puts us a little bit better positioned than many others. We’re already well into our China for China strategy, which is really about providing localized support for our China customers kind of defending and protecting that business, but also trying to grow and accelerate it over time. So, I think both of those gives us a pretty good position in the changing macroeconomic environment, but we’ll have to see it’s a complicated world out there.
Richard Shannon: Okay, perfect. Thanks, Gene.
Gene Sheridan: Thanks, Rich.
Operator: Thank you. Seeing as there are no more questions in the queue, that concludes our question-and-answer session. That also concludes this call. Thank you all for joining. You may now disconnect.